Operator: Greetings, and welcome to the Global-e Fourth Quarter and Year End 2022 Earnings Conference Call. This call is being simultaneously webcast on the company's website in the Investors section under News and Events. For opening remarks and introduction, I will now turn the call over to Eric Mannion at Sapphire, Investor Relations. Please go ahead.
Erica Mannion: Thank you, and good morning. With me today from Global-e are Amir Schlachet, Co-Founder and Chief Executive Officer; Ofer Koren, Chief Financial Officer; and Nir Debbi, Co-Founder and President. Amir will begin with a review of the business results for the fourth quarter and the year ended December 31, 2022. Ofer will then review the financial results for the fourth quarter and year ended December 31, 2022, followed by the company's outlook for the first quarter and full year of 2023. We will then open the call for questions. Certain statements we make today may constitute forward-looking statements and information within the meaning of Section 27A of the Securities Act of 1933, Section 21E of the Securities Exchange Act of 1934 and the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995 that relate to our current expectations and views of future events. These forward-looking statements are subject to risks, uncertainties and assumptions, some of which are beyond our control. In addition, these forward-looking statements reflect our current views with respect to future events and are not a guarantee of future performance. Actual outcomes may differ materially from the information contained in the forward-looking statements as a result of a number of factors, including those set forth in the section titled Risk Factors in our prospectus filed with the SEC on September 13, 2021, and other documents filed or furnished to the SEC. These statements reflect management's current expectations regarding future events and operating performance and speak only as of the date of this call. You should put -- you should not put undue reliance on any forward-looking statements. Although, we believe that the expectations reflected in the forward-looking statements are reasonable, we cannot guarantee that future results, levels of activity, performance and events and circumstances reflected in our forward-looking statements will be achieved or will occur. Except as required by applicable law, we make no obligation to update or revise publicly any forward-looking statements, whether as a result of new information, future events or otherwise after the date in which these statements are made or to reflect the occurrence of unanticipated events. Please refer to our press release dated February 22, 2023 for additional information. In addition, certain metrics we will discuss today are non-GAAP metrics. The presentation of this financial information is not intended to be considered in isolation, or as a substitute for, or superior to the financial information prepared and presented in accordance with GAAP. We use these non-GAAP financial measures for financial and operational decision making and as a means to evaluate period-to-period comparisons. We believe that these measures provide useful information about operating results, enhance the overall understanding of past financial performance and future prospects, and allow for greater transparency with respect to key metrics used by management in its financial and operating decision making. For more information on the non-GAAP financial measures, please see the reconciliation tables provided in our press release dated February 22, 2023. Throughout this call, we provide a number of key performance indicators used by our management and often used by competitors in our industry. These and other key performance indicators are discussed in more detail in our press release dated February 22, 2023. I will now turn the call over to Amir, Co-Founder and CEO.
Amir Schlachet: Thank you, Erica, and welcome, everyone. Today's earnings call is an extra special one for us. Yesterday, on February 21, we celebrated exactly 10 years since Nir, Shahar and myself started globally, three entrepreneurs Andrew is nothing by the deck of 25 PowerPoint slides and a very big dream about transforming the world of cross-border e-commerce. Fast forward a decade, and we are doing exactly what we set out to do, leading the path towards making e-commerce truly global by making both shoppers and merchants border agnostic. Moving forward to our earnings, we are extremely proud to report that the final quarter of 2022, the results of which we are reporting to you today, was our strongest quarter ever and a fantastic finish to the fiscal year, bringing in a record $839 million in GMV, up 66% year-on-year, and generating revenues of close to $140 million, up 69% year-on-year. Both GMV and revenues came in close to the top of the forecasted range, representing our continued strong growth momentum and impeccable execution throughout the business, despite the prevailing elevated levels of macro headwinds and economic uncertainty in the market. The adjusted gross profit margin for Q4 remained stable at 41.3%, up 180 basis points from the 39.5% in the same quarter of last year. On the operational side, we continue to exert strict cost control, ensuring our fast growth is also a sustainable one. Adjusted sales and marketing expenses for the quarter totaled only $8 million or 5.7% of revenues, and adjusted general and administrative expenses were only $8.9 million or 6.4% of revenues. This, coupled with our continued efforts to realize operational cost synergies with Flow and Borderfree, resulted in an adjusted EBITDA margin of 15.6% or $21.8 million in Q4, well over the top of the outlook range. And up from 14.3% or $11.8 million in the same quarter of last year. As we’ll be evident later in the call when Ofer presents our guidance for Q1 and for 2023 as a whole, we remain committed to continuing this path of strong, yet profitable growth into the future. Looking at the full year of 2022, GMV was $2.45 billion, an increase of 69% year-on-year, and revenue for the full year came in at $409 million, an increase of 67% year-on-year. Annual adjusted gross profit increased even faster, growing by 84% from 2021, and reaching $167.9 million. This represents an adjusted gross profit margin of 41.1% for the full year, a steep increase of 380 basis points from 2021. Finally, adjusted EBITDA for the full year was $48.7 million compared to $32.4 million last year, significantly over the top range of our outlook, and representative of our ability to generate profitable growth with strong free cash flows. Now before I hand it over to Ofer to discuss our financial results in more detail, I would like to spend a few minutes to review some of the noteworthy developments across our business that took place during Q4 of last year. First, we continued our strong momentum in adding new brands across the various markets we are active in, as well as in the new territories we have only recently entered as direct-to-consumer continues to gain share as a strategic priority for consumer brands worldwide. Examples of such merchant launches are the leading UK based luxury fashion brand All Saints, French brand ba&sh, the celebrity-led footwear brand of the singer Katy Perry, and the fast-growing U.S. apparel brands, Dolls Kill and Cuts Clothing among others. We went live with our first ever Greek merchant called Ancient Greek Sandals, and continued our expansion in the APAC region with Pure Hair and H2 Hub going live in Australia and Singapore, respectively. We also went live with three new LVMH masons during the quarter, BVLGARI, Chaumet and Moynat, with several additional maisons already signed up during Q4 and in active integration. Last but not least, I'm happy to report that we recently went live with Disney EU after its launch was unfortunately delayed from Q4, representing a major expansion of our relationship with Disney. Our bookings pipeline continues to be extremely strong, driven by a combination of our outbound sales teams, growing inbound interest and close collaboration with our ever growing ecosystem of regional and global partners. A notable example is our long-term global strategic partnership agreement with DHL, which was recently renewed for another period of three years, a testament to the great synergetic value it creates for both companies. Another is our second joint client summit in Japan in partnership with Trans Cosmos, which Nir attended just last week in Tokyo, as well as an initial rollout of our newly formed logistics partnership with Pitney Bowes, which was forged as part of the Borderfree acquisition. And number one (ph) of our key strategic partnership is the one with Shopify, which also remains well on track. On the direct integration side, in parallel to work on completing the build for the native integration and adding support for Shopify's new Checkout One, we continue adding many new sign and live merchants which turned to us as the exclusive end-to-end merchant on record cross-border e-commerce provider on Shopify. On the white label solution front, our joint work with Shopify continues, gearing up towards general availability of the Shopify Markets Pro solution in the first market, the U.S., which is planned for Q2 this year. Additional geographies are already on our joint road map, which down the line will allow Shopify based SMB merchants based outside of the U.S. to also benefit from seamless global sales. In the meantime, we continue to gain highly valuable insights from the growing adoption among those U.S. based merchants, which were granted early access to Markets Pro. We've closed to 75 live SMB merchants in Q4 and with promising results in terms of the international conversion uplift. On our other major corporate development effort, that of enhancing our demand generation capabilities and offering, we continue to make good progress as well. With the Borderfree post-merger integration in advanced stages, our efforts are mainly concentrated now on making the necessary adaptations to borderfree.com, and the other parts of our technological platform in order to enable the extension of this offering to a broader list of merchants. In parallel, we are continuing both commercial and technological work on creating several additional demand generation capabilities, aimed at offering our merchants a complete and well-rounded suite of unique cross-border demand generation services. As is evident from the great advancements we have made during the past year on all our business fronts, we are extremely pleased with our results for 2022, which we managed to obtain in the face of several distinct macroeconomic headwinds. We managed to do so thanks to the trust and loyalty of more than 1,000 merchants, which are already live on our platform, combined with the relentless efforts of our highly capable and super dedicated team of globally professionals, which is already more than 750 people strong, spread across 17 main locations around the globe. I would like to take this opportunity and send our sincere and deep gratitude to both our clients and our team members, and share with you how excited we are as we look towards the many business opportunities that await us in 2023 and beyond, supporting our long-term vision of becoming the number one go-to place for everything that is global e-commerce for any merchant, anywhere. We continue to see a large and mostly greenfield opportunity ahead of us, both in the territories we are already established in, and in new markets, which we intend to expand to over the course of the next few quarters, coupled with our growing suite of value-added services. As Ofer will elaborate on in just a few minutes' time, our guidance for 2023 represents this continued strong growth momentum, with roughly 40% annual growth expected in both GMV and revenues, well above the growth rates of the e-commerce market itself. So circling back to what I opened with. This is now one exciting decade down and many more exciting decades to come. We really are just getting started. And with that, I will hand it over to Ofer, our CFO, to dive deeper into our quarterly financial results and provide some additional color regarding our outlook for Q1 and for the full year of 2023.
Ofer Koren: Thank you, Amir, and thanks again, everyone, for joining us today for our quarterly earnings call. We are very pleased with our Q4 and full year results. Q4 was another strong quarter of fast growth and strong cash generation as we continue to execute well on all fronts. I'd like to point out again that in addition to our GAAP results, I'll also be discussing certain non-GAAP results. Our GAAP financial results, along with the reconciliation between GAAP and non-GAAP results can be found in our earnings release. As Amir mentioned, our rapid growth in GMV continued in Q4 as we generated $839 million of GMV, an increase of 66% year-over-year. While growth of the overall e-commerce market slowed down in 2022, we continue to benefit from the large and fast growing direct-to-consumer global e-commerce opportunity, coupled with our strong market position. In Q4, we generated total revenue of $139.9 million, up 69% year-over-year. Service revenues were $62.8 million, up 77%, and fulfillment services revenue were up 63% to $77 million. The higher growth in service fee revenue compared to fulfillment services revenues was driven by the continued growth of our multi-local service and the GMV mix generated on our platform in Q4. Throughout 2022, our existing merchant base continued to stay and to grow with us, as reflected in our annual NDR rate of 130% and GDR rate of over 98%. At the same time, we have experienced record signings of new merchants that have launched with us during 2022 and we launch in 2023. We have continued to experience higher paced growth in our U.S. outbound revenue as our strong momentum in the U.S. continued, driven also by the U.S. buyers of the flow and Borderfree portfolio. In 2022, U.S. outbound revenue was up 163% year-over-year. As Amir mentioned, non-GAAP gross profit continues to outpace revenue growth. As we continue to improve gross margins, leveraging our scale and improving efficiencies. In Q4, non-GAAP gross profit was $57.8 million, up 77% year-over-year, representing a gross margin of 41.3% compared to 39.5% in the same period last year, driven by the higher share of service fee revenues and the continued efforts to leverage our scale to further improve our efficiencies. GAAP gross profit was $55.8 million, representing a margin of 39.9%. Moving on to operational expenses. We continue to invest in the development and enhancement of our platform to further strengthen our offering. R&D expense in Q4, excluding stock-based compensation was $17.8 million or 12.8% of revenue compared to $8.4 million or 10.2% in the same period last year. Total R&D spend in Q4 was $23.7 million. The increase in R&D expenses as a percentage of revenue was partially driven by the consolidation of Flow and Borderfree. We also continue to invest in sales and marketing to build our pipeline while maintaining efficiencies. Sales and marketing expense, excluding Shopify-related amortization expenses, stock-based compensation and acquisition-related intangibles amortization was $8 million or 5.7% of revenue compared to $6.7 million or $8.1 of revenue in the same period last year. Shopify warrants related amortization expense was $37.4 million. Total sales and marketing expenses for the quarter was $52.6 million. General and administrative expenses, excluding stock-based compensation, acquisition related expenses and acquisition related contingent consideration was $8.9 million or 6.4% of revenue compared to $5.8 million or 7% of revenue in the same period last year. Total G&A spend in Q4 was $14.7 million. Adjusted EBITDA for the quarter totaled $21.8 million, representing a 15.6% adjusted EBITDA margin, increasing from $11.8 million or 14.3% margin in the same period last year. Net loss was $28.5 million compared to a net loss of $22.5 million in the year ago period, driven mainly by the amortization expenses related to the Shopify warrants and to the transaction-related intangibles. Switching gears and turning to the balance sheet and cash flow statement, we ended 2022 with $228 million in cash and cash equivalents, including short-term deposits and marketable securities. Cash generation has accelerated with operating cash flow in the quarter at $60.7 million compared to an operating cash flow of $24 million a year ago, driven mainly by adjusted EBITDA growth and working capital dynamics. Moving to our financial outlook and guidance for 2023. As you will see, the guidance reflects the strength and the continued momentum of the business. For Q1 2023, we're expecting GMV to be in the range of $645 million to $675 million. At the midpoint of the range, this represents a growth rate of 45.1% versus Q1 of 2022. We expect Q1 revenue to be in the range of $108 million to $114 million. At the midpoint of the range, this represents a growth rate of 45.4% versus Q1 of 2022. For adjusted EBITDA, we're expecting a profit in the range of $9.5 million to $12.5 million. For the full year of 2023, we anticipate GMV to be in the range of $3.36 billion to $3.52 billion, representing slightly over 40% annual growth at the midpoint of the range. Revenue is expected to be in the range of $557 million to $584 million, representing a growth rate of nearly 40% at the midpoint of the range. For adjusted EBITDA, we are expecting a profit of $66 million to $74 million. In conclusion, we believe that the opportunity ahead is immense and that we are well positioned to capture it. We will continue to drive strong top line growth while leveraging economies of scale and generating cash. We strive to continue creating value to the merchant and further strengthen our positioning. And with that, Amir, Nir and I are happy to take any of your questions. Operator?
Operator: Thank you very much, sir. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] We have a first question from the line of Will Nance with Goldman Sachs. Please go ahead.
Will Nance: Hey, guys. Good morning. Nice results. I wanted to ask a question on the guidance. I mean I know there's a lot of uncertainty around there, particularly in the e-commerce market. I think you guys referenced it. The NRRs last year ended up being very strong despite a fairly weak e-commerce backdrop. When you look out into 2023, relative to that 130% NRR you had in 2022, how are you thinking about that metric as you go forward into next year? And maybe you could talk about the degree of conservatism you guys are embedding in the guide.
Ofer Koren: Hi, Will. It's Ofer. Thank you for the question. Going into 2023 and looking forward, as we previously mentioned, we expect NDR rate to be around 130% plus. And this, coupled with our strong pipeline of new bookings into 2023, and our ability to maintain a very high GDR over 98% will enable us to grow fast. We are embedding a certain degree of conservatism into our top line and a higher degree of conservatism into our adjusted EBITDA. It is very sensitive to any top line fluctuation. And with the current macro environment, we think this would be the best way to go.
Will Nance: Got it. That makes sense. Very helpful. And then just a question on the U.S. outbound. I know you mentioned that Borderfree and Flow were contributors to that really strong growth. I'm wondering if there's also maybe a component coming from the acceleration in Shopify that you guys mentioned. Is that also contributing to U.S. outbound? And just higher level, do you kind of expect U.S. outbound to be -- does it remain one of your higher growth channels?
Nir Debbi: Hi, Will. It's Nir. Yes. We continue to see a strong growth of U.S. outbound. We've seen it over the last few years since we started to invest in developing outbound of the U.S. And this was indeed, as you mentioned, accelerated with our partnership with Shopify. Shopify has an unparalleled client base shipping outbound U.S. and this, of course, supports our growth as an exclusive partner for MRR (ph) globally. So all-in-all, this indeed continue to fuel our growth. We expect this to continue going forward with U.S. growing quite fast, also given the rollout of the new solution of the white label SMB that is expected to go into general availability on Shopify later in the year.
Will Nance: Got it. Appreciate you taking the questions.
Ofer Koren: Thanks, Will.
Operator: Thank you. We take the next question from the line of James Faucette with Morgan Stanley. Please go ahead.
James Faucette: Great. Thank you very much. I wanted to follow up on the Shopify question there. Just wondering what is controlling the pace of penetration and onboarding of Shopify merchants, particularly via the exclusivity and how should we think about it? It looks like it should be a pretty big GMV opportunity, but is that something where you can press the accelerator, or is it more of an organic cadence? And how should we think about any change in trajectory with those merchants in '23?
Nir Debbi: Hi, James. So yes, we are very excited about the continuous potential of growth in partnership with Shopify. Our joint teams continue to work hand-in-hand to deliver a best-in-class solution of GMV within the Shopify native checkout and also to support Checkout One. A lot of the work is still under process, especially now with the rollout of Checkout One as of February on the Shopify platform. In parallel, we do have ongoing development of our SMB offering as part of the Shopify Markets Pro. And once this goes into general availability, we expect much more growth coming out of that as well. So we will see both growth that is coming out of very large Shopify merchants using our direct native integration as well as smaller merchants that are going to use a solution to Markets Pro, once it goes into general availability. So a lot of fraud (ph) not ahead.
James Faucette: Got it. And then I wanted to follow up on your comment just now on EBITDA and EBITDA margin. It sounds like you're being a little bit more conservative in the way that you're forecasting that for '23. First, can you talk about why that is? And more importantly, perhaps, what your levers are that you can pull and as we go through the year? And where we typically -- where have you typically been able to find leverage in the business and how are you thinking about moving that in '23?
Ofer Koren: Thank you, James. It's Ofer. Yes. We are being -- to be honest, we've been always a bit more conservative with adjusted EBITDA. As we go to the bottom line, it's much more sensitive to any top line change. And we have been consistent with that this year as well, especially due to the macro uncertainty, we've seen the fluctuations in 2022. And to be honest, we haven't seen any change in the macro environment. It remains challenging, and it remains -- and it continues to fluctuate. So we've been a bit more cautious on the adjusted EBITDA side. We do have quite a few levers to pull that we have been pulling, and we will continue to pull in 2023. We are leveraging economies of scale to improve our gross margin. So we do not expect the same level of improvement that we had in 2022, but we do have some room to maneuver there. And we are very cautious and disciplined with managing the expense side, the OpEx side. So we do -- and that coupled with the mix of the business that might change a bit to the positive side creates potential for additional upside on adjusted EBITDA.
James Faucette: Great. Appreciate that Ofer.
Operator: Thank you. We take the next question from the line of Koji Ikeda with Bank of America. Please go ahead.
Koji Ikeda: Hey, Amir. Hey, Ofer. Thanks for taking the questions. Congrats on your 10-year milestone. Just a couple of questions for me. I wanted to go back to that Shopify partnership that you have, just really kind of thinking about the direct 3P versus the white label 1P, and want to understand the nuances between those two offerings a little bit better from a -- what is offered within those products and from a monetization perspective? And then just to really kind of clarify here. When we listen to Shopify talk about Markets and Market Pro, are those just fully globally powered? I mean, is there anything else within those that we should be thinking about?
Nir Debbi: Yeah. So I will start with the first question. It's Nir. Thank you for the question. Related to 3P, our direct integration, this is our -- I would say, our current offerings that have been running with us for the last 10 years that complements larger enterprise brands. It has an ability to customize. It has customer services related to it, dedicated team behind it of specialized success managers that are trained on international to support our client growth. For this solution, we also customize elements of the solution according to specific client requirements. The 1P is actually an out of the box solution that is being sold directly by Shopify not by us. It has all the basic functionalities to support merchant on record services with all the capabilities of duty guarantee as well as supporting local currencies, an attractive shipping offering. However, it is not customized for the specific needs of the client and the actual selling of it is driven by Shopify itself. So this would be the main differences. In terms of the second question, I do believe that we have a long runway on both products within Shopify. So once we complete builds on the one side and go into general availability on the SMB 1P solution, there is a great runway with smaller merchants that today do not have an alternative solution to use. And on the 3P, I think that once we are deployed in fall into a Checkout One as well, we will be able to utilize additionally outreach with Shopify to give a better solution to those clients as well. So quite a lot of runway ahead. And sorry if I missed any.
Amir Schlachet: Yeah. I'll just complete maybe, Koji, on the second part as well, just to make sure that there's no confusion. So Shopify Markets Pro is essentially the solution that is powered behind the scenes by Global-e based on the technology that we acquired, when we acquired Flow Commerce. Shopify Markets is a separate offering that Shopify have on their own, which is unrelated to Global-e, but that's a non-merchant of record solution. It's only a set of capabilities that Shopify provides for merchants that they can manage, setup and control by themselves. But it's not a merchant of record solution, and it's not a full end-to-end solution like Shopify Markets Pro. Hopefully, if that makes sense.
Koji Ikeda: No, got it. That's super clear. Thank you. And just one follow-up here, apologies if you talked about it, I might have missed it, but did Borderfree GMV come in as expected for the year? And really thinking it is considered organic now, but anything you could share on how to think about Borderfree as a contributor to growth this year? Thanks, guys. Thanks for taking the questions.
Ofer Koren: Yeah. So Borderfree came in as expected. So it is very close to the guidance we provided regarding Borderfree. Going forward, we expect the Borderfree portfolio to grow a bit less than our general growth rate. So we expect the Borderfree share to decrease a bit. Having said that, we are integrating Borderfree merchants into the Global-e platform gradually. And we do see a potential for upside due to uplift in sales once we do that.
Koji Ikeda: Thank you.
Operator: Thank you. We take the next question from the line of Samad Samana with Jefferies. Please go ahead.
Samad Samana: Hey. Good morning. Thanks for taking my questions. So maybe first, just in terms of new merchant behavior, it sounds like new customer sign-ups were still very healthy. Maybe can you help us understand, in terms of the new pipeline, what you're seeing as far as customer behavior goes? What sales cycles are looking like, and what go-live timing is looking like? And then I have a follow-up as well.
Nir Debbi: Hi, Samad. It's Nir. Good morning. Basically, what we have seen, we have witnessed in 2022 is actually that new client bookings remains strong. 2022 in general was by far the best year we had in signing new merchants. We continue to see a strong pipeline within our incumbent markets, but as well as we've started to see a very nice trajectory of growth in our expansion market, especially in APAC. And it's worth noting here, Australia and Japan had already showed a significant chunk in sales coming into Q4. So we are quite optimistic on the road forward. We haven't seen, to be honest, any major shift in our ability to sign or move clients through the pipeline due to the macro conditions. We've seen that in the rare case that the client mentioned that they delay a decision for a month or a couple of months due to uncertainty related to the performance, but this would be the odd one. It will not be the general feeling we get from the market. So overall, we are positive that, in 2023, we will be able to continue and grow the new bookings versus what we had in a record year in 2022.
Samad Samana: Great. And then maybe if we look at the NRR number, I wanted to maybe unpack the source of strength there. How much of it is same-store sales growth at existing merchants are expanding within their portfolio versus them expanding into other geographies? Just trying to understand, when I think about that 130% NRR, what the different drivers are underneath it? And same thing as you think about what's embedded in the guidance, like how should we think about what the different pieces are for the forward outlook as well?
Nir Debbi: Sure, Samad. As you mentioned in a while, and Ofer mentioned the 130%, the vast majority is made out of the existing merchants growing within existing territories. That would be the vast majority of the growth that we've seen. However, there is growth that is coming out of what we call land and expand, which is actually existing merchants that are opening more markets with us. Either markets that are new to them as well or that its markets that were served internally and are being moved into Global-e. As Amir mentioned earlier on the call, we opened lanes in Europe for Disney just recently. So we do see still our large merchants giving us more lanes in different territories and this is part of the growth. But the vast majority would still be the growth of existing merchants in existing markets.
Samad Samana: Great. Thank you and congrats on the strong results.
Amir Schlachet: Thanks, Samad.
Operator: Thank you. We take the next question from the line of Scott Berg with Needham. Please go ahead.
Scott Berg: Hi, everyone. Congrats on the strong quarter and a couple of questions for me. First of all, offer and your guidance for this year, I don't think it was -- an answer was kind of given to a partial question on Shopify earlier and your relationship there. But within your guidance for fiscal '23, are there any assumptions on the GMV or revenue side with that relationship or is that still really kind of upside to how we should be thinking about the full year numbers?
Nir Debbi: Yeah. So indeed, as we mentioned earlier, the Shopify partnership is working as we forecasted and is on the right pace to continue to grow. We do see it in the mix of business. In 2022, Shopify share in our overall mix have grown significantly. And when we look at the new bookings, we also see a gradual continued growth of Shopify based merchants within the new bookings. So overall, we do expect over time to see an even higher share of Shopify based on revenue within our mix. So overall, quite a positive outlook going forward as well.
Scott Berg: Great. Helpful. And then from a follow-up perspective, we've heard some commentary from companies like PayPal and Shop about discretionary spend from the consumer and shift to some spend from goods to services in person. Your growth numbers, your guidance look pretty exceptional here. But as you think about the macro impact in your guidance, is that part of what you're building in on some of the macro weakness or is it more just general slowdown in maybe consumer spending behavior? Thank you.
Ofer Koren: Yes. Hi. It's Ofer. Yes, we certainly have seen some slowdown in the market in discretionary spend. And that is reflected in the numbers of different companies. And we did embed that in our guidance, and we have taken some conservative -- conservatism as well on top of that. And this is the reason we are growing less than 2022. However, we continue to grow much faster than the e-commerce market and our peers as the opportunity for direct-to-consumer and particularly cross-border is immense, and our competitive position is only getting stronger. So we do anticipate to continue and grow fast and faster than the peers and the market.
Scott Berg: Great. That’s all I have. Thank you for taking the questions.
Operator: Thank you. We take our next question from the line of Brent Bracelin with Piper Sandler. Please go ahead.
Brent Bracelin: Thank you and good morning, here. I wanted to go back to the guy here, and I was wondering if you could just compare, contrast your visibility going into this year maybe versus the visibility you had going into last year. I asked that because the organic GMV growth, looks like it's about 35% if I back out the full year guide. That's 3 times faster than the GM growth estimate for Shopify. So walk us through visibility what is driving the optimism here and compare, contrast the visibility you have it going into this year versus last year? I know there's more products, and that might be the answer, but love to get a compare, contrast relative to the visibility you have going into this year? Thanks.
Ofer Koren: Yes. So thank you, Brent for the question. We do have a pretty good visibility as most of the forecast or the guidance is based on existing merchants. To be honest, we don't think it's very optimistic. As I said, it reflects lower growth rate than we had last year. And we have been growing, and we will continue to grow faster than the general market and most of our peers. So we do have good visibility. Assuming that no worse will break like we had in 2022 in Ukraine unfortunately, we think that it's a very solid guidance and we can execute upon it.
Brent Bracelin: Helpful color there. And then my last follow-up here, just on the U.S. outbound mix, this has been a big driver of growth over the last couple of years, going from, I think 25% of the mix two years ago, it's, I think, 46% exiting 2022. Do you expect more balanced growth across geo’s going into 2023 or do you continue to expect the U.S. to be the geo leader here relative to growth? Thanks.
Ofer Koren: Yes. So we do expect more balanced growth going forward because the main reasons that -- there are a few reasons that we grew fast in the U.S. One is that we penetrated the market just a few years ago, and it's a huge market, and we had great momentum. The other one is that a Borderfree and Flow contributed to that as well as they have a bias towards U.S. outbound. So we do expect we see massive potential in the U.S., and we expect it to continue to grow. However, we are investing a lot in building the infrastructure, not only building, but actually starting to see the fruit in APAC, and pushing hard in Europe. So going forward, we do expect the UK to continue to decrease in share as it was our first market, but we expect Europe and APAC to grow fast as well alongside the U.S.
Brent Bracelin: Great to hear. Thank you.
Amir Schlachet: Thanks, Brent.
Operator: Thank you. We take our next question from the line of Brian Peterson with Raymond James. Please go ahead.
Brian Peterson: Hi, gentlemen. Thanks for taking the questions and congrats on a very strong decade and quarter here. So maybe just a higher level question as far. You mentioned brands like Disney and Adidas and a lot of these larger merchants, I'd love to understand has the composition of the pipeline changed at all over the last 12 months to 18 months and maybe the merchants or brands that you're talking to are bigger? I know we have potential smaller ones with Shopify. I just kind of love to understand how that opportunity has looked over the last say 12 months to 18 months.
Nir Debbi: Hi, Josh (ph). Thanks you. It's Nir. We have seen basically on the one side larger brands that opt for doing e-commerce direct-to-consumer in-house, and this driven, I would say, much more the likes of Disney, Adidas and many other very large global brands to partner with us to support them in the global expansion journey. However, in parallel to it, we do see many direct-to-consumer brands coming out of Shopify, growing very fast, that are joining us as part of our exclusivity with Shopify. So overall, we do see a slight increase in the average size of the client. However, it's not a complete change. I think it's kind of balancing each other. The growth we see within, I would say, midsized clients as well as some of the world's largest brands that are moving towards the D2C model with us.
Brian Peterson: That's great perspective. And maybe a follow-up, I know with Flow and Shopify and Borderfree, there's a lot of synergies that are potentially coming. How do we think about the ramp of those in 2023, even on a qualitative basis or are those maybe having a bigger impact in 2024 and beyond? I'd love to understand your confidence level in those synergies. Thanks, guys.
Ofer Koren: So going into 2023, we are not breaking down the guidance to different segments. However, we can say that we do expect -- we hope and expect that the SMB solution, which will be the Shopify White label SMB solution, we launched in the next few months, and we expect to get to start and see more significant volumes in H2 of 2023. Regarding Borderfree, as I mentioned, we are gradually integrating the Borderfree merchants into the Global-e platform. It will take some time. However, once we do that, we do see some potential uplift in sales for those merchants. So we are quite optimistic. It will be a gradual growth in Borderfree, and hopefully, faster growth with the SMB solution.
Brian Peterson: Great. Thank you.
Operator: Thank you. We take the next question from the line of Josh Beck with KeyBanc. Please go ahead.
Josh Beck: Yes. Thanks so much for taking the question. Also a little bit of a demand environment follow-up. Just wanted to talk about the demand that you're seeing inbound in Europe. I believe in the first half of '21, it was just shy of 30% of the mix. Just curious given some of the commentary from the likes of PayPal and Salesforce that Europe is expected to be a little bit weaker this year, just how you're contemplating and just kind of how trends there are expected to shape up?
Ofer Koren: Yes, Josh. So, yes, demand is -- in Europe has been a bit weaker throughout 2022, and we expect that to continue into 2023 as well. However, we didn't see any decrease in the last few months. So it's more or less stabilized in the last few months. And as we said, we do -- we have embedded in our guidance also the macro uncertainty. So we need to wait and see which direction it goes. But yes, it's a bit lower than it has been previously.
Josh Beck: Okay. Very helpful. And then just a follow-up on gross margins. From what I remember, Borderfree was supposed to be a bit of a governor for the six month to 12-month period post acquisition. Obviously, we're through about half of that now, I believe. But you still have quite good expansion on a year-over-year basis looking at the gross margin line. So as we look into '23, how should we be contemplating the gross margin trends?
Ofer Koren: Yes, we have been able to improve gross margins in 2022, and this is a continued trend from previous years. Borderfree is weighing a bit -- still weighing a bit on our gross margin. We have been able to improve the Borderfree economics. However, it's still not at the same level of Global-e and Flow. Going forward, we think we can continue and improve that. And as I said previously, we think that there is a potential upside. However, we don't expect the same pace of improvement that we've seen in previous years.
Josh Beck: Super helpful. Thanks Ofer and Team.
Operator: We take our final question from the line of Matt Code with Autonomous Research. Please go ahead.
Matt Code: Hey. Good morning, guys. Thanks for taking the question. Just had one on your EBITDA margin expectations for next year. It looks like it's up slightly year-over-year at the midpoint, but still well below your long-term guidance. So I was hoping you could just kind of like a opine on what you're investing in currently, and how we should think about kind of like the margin trajectory over the next couple of years?
Ofer Koren: Yes, Matt. So thank you for the question. We believe that we remain on track towards our long-term target of 20% adjusted EBITDA margin. Our guidance assumes the improved margins in 2023, as you mentioned, and this is despite the acquisitions that, as I mentioned, are still weighing, slightly weighing on the group's profile as well as continued investment in R&D and in the product, mainly in the product in 2023, both on the SMB side on the white label solution, which is reaching a peak in terms of investment as we hoped and expect to launch it in the next few months. And also in our enterprise solution and the integration of Borderfree into Global-e.
Matt Code: Really helpful. Thank you. And then just last one, and apologies if I missed it, but could you provide any level of detail just in terms of, say, like, helping us get to the organic constant currency kind of like revenue growth profile of your firm in terms of this quarter, our expectations for 2023. Just like any details in terms of inorganic contribution or what you're assuming for FX would be helpful.
Ofer Koren: We had a slight positive effect from currency rates in Q4, but it wasn't very significant. And as we said, going forward, we expect the NDR to be at 130 plus. And I think this reflects the pace of organic growth that we have or that is built out of same-store sales, but also expansion to new geographies of existing merchants.
Matt Code: Thank you.
Operator: Thank you. We have reached the end of the question-and-answer session, ladies and gentlemen. And I'd now like to turn the floor back over to Amir Schlachet for closing comments. Over to you, sir.
Amir Schlachet: Thanks, and thank you, everyone, for joining us today, for your interest and your questions, and your continued support. As we embark on our second decade, we could not be more excited with the tremendous opportunities that lie ahead of us, and which are ours to take in 2023 and beyond. As such, we very much look forward to seeing you all again on our future earnings call. Until then, goodbye and take care.
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.